Operator: Welcome to the Meritage Homes First Quarter 2018 Analyst Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Mr. Brent Anderson, Vice President of Investor Relations. Please go ahead.
Brent A. Anderson - Meritage Homes Corp.: Thank you, Bill. Good morning. Welcome to our analyst call to discuss our first quarter 2018 results. We issued the press release yesterday after the market closed and you can find it along with the slides that we'll be referring to during the call on our website at investors.meritagehomes.com or by selecting the Investor Relations link at the bottom of our homepage. I'd refer you to slide 2 and remind you that statements during this call, as well as in our press release and slides contain forward-looking statements, including projections for 2019, operating metrics such as community count, order trends, closings, revenue, margins and earnings, in addition to expectations about market trends. Those and other projections represents the current opinions of management, which are subject to change at any time and we assume no obligation to update them. Any forward-looking statements are inherently uncertain and our actual results may be materially different than our expectations due to a wide variety of risk factors, which we have identified and listed on this slide, as well as in our press release and most recent filings with the SEC, specifically our 2018 annual report on Form 10-K, which contains a more detailed discussion of these risks. We've also provided a reconciliation of certain non-GAAP financial measures referred to in our release or presentation, as compared to their closest GAAP measures. With me today to discuss our results are Steve Hilton, Chairman and CEO of Meritage; Hilla Sferruzza, Executive Vice President and CFO; and Phillippe Lord, Executive Vice President and Chief Operating Officer of Meritage. We expect to conclude the call within an hour, maybe less, and a replay will be available on our website approximately an hour after we conclude it. It will remain active for approximately two weeks. I'll now turn it over to Steve Hilton to review our first quarter results. Steve?
Steven J. Hilton - Meritage Homes Corp.: Thank you, Brent, and welcome to everyone participating on our call today. We appreciate your interest, and I'll begin on slide 4. We were pleased with our results for the first quarter of 2018. They demonstrated solid progress on our strategic initiatives in addition to generally healthy market conditions. We produced year-over-year growth in nearly all key metrics, including 10% order growth, 9% increase in closings, and a 10% increase in home closing revenue, and 90-basis-point lift in our home closing gross margin plus a 30-basis-point improvement in SG&A leverage. We also made significant progress in our East region performance. Turning to slide 5. Those results were partially due to continued strength in the economy, and the drivers of growth for the housing market. Much of the credit goes to our team who's been very focused on achieving our strategic initiatives. With this all-hands operational focus, we expect continued improvements in these metrics throughout 2018 and beyond. The strategic initiatives I'm referring to includes community count growth, home closing margin improvement, maximizing overhead leverage, especially through growth in our East region, and our strategic focus on the entry-level segment. We grew our community count during the quarter back to 253 communities about where it was a year ago. It's been a challenge to grow community count due to combination of high demand in several markets, resulting in the early close-outs of communities, as well as the late openings. Our gross margin improved to 17.1% from 16.2% in the first quarter last year with much of the improvement due to our performance in the East region, where home closing gross margin was up 260 basis points year over year. As we noted last quarter, we saw sustainable gains in most of our markets in the East and believe we turned the corner there. We were able to more than offset rising cost with price increases in most of our communities across our markets, which helped our margins. We leveraged the 9% growth in closing volumes to reduce our SG&A ratio to 11.5% of total home closing revenues, down from 11.8% in the first quarter of last year. We expect to trend down throughout the year and continue to show positive year-over-year comparisons. Once again, much of the improvement in leverage was due to a 29% year-over-year growth in closing volume in the East, which drove 25% home closing revenue growth for the region. Those margin improvements on top of 10% growth in home closing revenue were the primary reasons for our 33% increase in pre-tax earnings. There were a few other unique items that Hilla will describe in more detail later on. Turning to slide 6. Our strategic shift towards more entry-level homes is certainly helping to drive our growth. Orders per average community were up 10% year over year for the first quarter of 2018, marking our third consecutive quarter of positive year-over-year comps. That's partially due to the higher absorption pace in our entry-level communities. And for the first quarter of this year, we averaged 4 orders per month for entry-level versus 2.8 for non-entry-level homes. For last couple of quarters, 70% or more are new lots under contract of our entry-level communities. Many will be opening in the next year or two. We have refined our entry-level strategy even further over the last couple of quarters and expect to continue to drive construction and purchasing efficiencies while providing quicker and less stressful home-buying process for our customers. We are closing in our goal of having 35% to 40% of our community space in the entry-level market by the end of the year. We ended the first quarter of 2018 with approximately 32% of our communities classified as entry-level mean that they're priced below local FHA loan limits. Those communities drove 38% of our total orders in the quarter due to higher absorptions. As we expand the percentage of entry-level communities we expect to generate additional order growth beyond what we can achieve through community count growth and general market trends. I'll turn it over to Phillippe to discuss some highlights of our sales trends. Philippe?
Phillippe Lord - Meritage Homes Corp.: Thank you, Steve. Demand remain generally solid through the first quarter of 2018, providing opportunities to take price increases through disciplined pricing management to help offset rising costs. Focusing on our sales performance and order trends, the East and Central regions drove our 10% order growth for the first quarter with particularly strong gains in the East, due to our great community position, new products and improved execution. I'll discuss our progress in each region and provide a little more local color beginning with the East region on slide 7. Our East region orders were up 23% year-over-year in the first quarter with the most significant gains in Georgia and Tennessee. Georgia more than doubled the sales volume over the last year's first quarter. Florida and South Carolina also had strong double digit increases in their absorption pace and order volumes for the quarter. Our average sales price on orders for the East region was 4% lower in the first quarter of 2018 compared to 2017 demonstrating a mix of more entry-level homes relative to our previous move up concentration. We are confident in our product, community locations and processes. While we're pleased with our first quarter results we still have many opportunities to improve our execution, reduced our costs and cycle times, drive margin expansion and get our performance back up to how we underwrite land. Moving West, slide 8. Texas continued its record of strong performance with another quarter of double-digit order growth. Total orders were up 17% for the first quarter and total order value increased 11% year-over-year as ASPs came down about 5% reflecting our success in the entry-level market. We're seeing this especially in Austin where the entry-level communities we've opened are selling well. Our average community count in Texas was up 15% year-over-year in the first quarter and average absorptions also increased to 8.6% compared to 8.4% in the first quarter of 2017. We expect continued strength in Texas due to population and job growth in its major markets as we experienced the last several years. And the pivot to the lower price band should help with potential pullback on demand at higher ASPs, which are nearing affordability limits. Slide 9, our orders in the West region were down just slightly. Despite a 14% decline in average community count, as a 14% increase in order pace made up for few communities. High ASPs coupled with higher absorptions offset the community count decline, maintaining total order value consistent with last year's first quarter. The high level of demand in the West has made it difficult to replace communities fast enough to keep up with the accelerated closeout. We did open seven new communities in Colorado during the first quarter which helped drive a 22% increase in orders. While Colorado had a 13% decline in absorption to most of those communities opening in the last few weeks of March, they still maintain the highest absorption pace in the company. We're planning to open up 10 net additional communities that will closeout in the West region over the next three to four quarters, increasing our total active communities in the region despite the accelerated sales pace. I will now hand it over to Hilla to provide some more additional information. Hilla?
Hilla Sferruzza - Meritage Homes Corp.: Thank you, Phillippe. I'll provide some more detail on our P&L results, as well as land and operating metrics, beginning with slide 10. We generated nearly $49 million in pre-tax earnings for the first quarter of 2018, a 33% increase over $37 million for the first quarter of 2017 and our highest first quarter pre-tax earnings since 2006. Dissecting the $12 million year-over-year increase, approximately $3 million came from home closing revenue growth, another $7 million from the increase in home closing gross margin and an additional $2 million from lower SG&A as a percentage of home closing revenue. There were a couple other items that largely offset one another. Land closing gross profit swung from a positive $2.5 million last year to a negative $1.2 million this year. The net loss this year was primarily from our exit of one mothballed community in California, partially offset by gains on a few small land sales. That $3.7 million negative impact was offset by $4.3 million of incremental other income in 2018, which was mostly comprised of $4.8 million favorable legal settlement relating to an old joint venture in Nevada. We had a couple of issuances of new notes and a couple of retirements of existing notes since 2017 first quarter that impacted our total interest incurred. We issued $300 million in new 5.125% senior notes last June that we used to retire our 1.875% convertible note and repay borrowings under our credit facility at that time. We issued another $200 million of 6% senior notes in March this year and use the proceeds to repay borrowings under our credit facility that we had used to redeem our $175 million, 4.5% notes in February of 2018. With those transactions completed, we have a well laddered maturity schedule for our long-term debt, with the next maturity not due until 2020. The net effect of these higher rate issuances was an increase in our total interest incurred of about $3 million in the first quarter of 2018. However, most of that interest was capitalized to assets under development. So our interest expense declined by approximately $700,000 year-over-year. Net earnings were 86% higher than last year's first quarter as our effective tax rate was just 10% for the first quarter of 2018 compared to 36% a year ago. In addition to the lower statutory federal rate enacted late last year and commencing in 2018, we also benefited from a one-year extension of energy tax credit for all qualifying homes closed in 2017. This benefit recorded in the first quarter of 2018 totaled $6.3 million. We expect our effective tax rate for the remainder of the year to be closer to 25% as we had indicated last quarter. Slide 11. Turning to balance sheet and cash flow item. We spent approximately $203 million on land and development in the first quarter of 2018, slightly lower than last year's first quarter of $207 million. Our total lot supply at quarter-end held steady at about 34,000 lots compared to 34,300 at year-end where we reduced our lot supply to about 4.3 years from 4.5 years based on trailing 12-months closing. About 70% of total lot inventory was owned and 30% was optioned at March 31, 2018. Consistent with our strategy to increase our focus on entry-level market, we are building more spec homes in those communities. 51% of the quarter's closing were from spec inventory. We ended the quarter with a total of about 2,000 spec homes, which is an average of 7.9 specs per community compared to an average 6.4 specs per community a year ago. Approximately one-third of total specs were completed as of March 31 2018. Turning to slide 12. Based on our first quarter results and operating improvements, especially in the East region, as well as our expectations that housing related economic indicators remain mostly positive, we anticipate additional earnings growth in 2018, particularly in the second half of the year. We are raising our expectations for total 2018 closings and home closing revenue to approximately 8,450 to 8,850 units of closings and $3.5 billion to $3.65 billion for home closing revenue. We are projecting a home closing gross margin of at least 18% for the year, anticipating that we can offset cost inflation with price increases. The net effect is that we expect full year pre-tax earnings of $285 million to $305 million with a tax rate of 25% for the rest of 2018. For the second quarter, we're projecting 1,850 to 2,000 closings for total home closing revenue of about $775 million to $850 million, home closing gross margin in the mid-17% range for the quarter, and pre-tax income of roughly $55 million to $60 million. We are projecting a sequential ramp-up in closing margin and profitability for the remainder of 2018 and we expect the year-over-year comparison to be stronger in the back-half of the year. This year's second quarter is our most difficult year-over-year comparison to 2017. Gross margin will be impacted by a greater mix of closings coming from lower margin space than we had last year. We also anticipate some additional nonrecurring expenses in Q2 2018 relating to our new strategic initiatives rollout, as well compensation expense in second quarter this year that we didn't have last year due to a change in our equity awards to a more advantageous tax structure for the company. With that, I'll turn it back over to Steve.
Steven J. Hilton - Meritage Homes Corp.: Thank you, Hilla. In summary, we are pleased with our first quarter results and the positive progress we delivered on nearly all key metrics. Demand for new homes remains healthy, and we're especially pleased with the success of our LiVE.NOW homes. There's still a shortage of entry-level products for buyers who are looking for a more affordable homes that meets their needs and gives them some extras to also satisfy a few of their wants. Meritage offers our industry-leading, energy-efficient, home automation, attractive and fresh designs in all of our homes, along with stress-free experience for buyers purchasing their first home. I'm proud of our entire Meritage team for putting our customers first and working hard every day to make the company successful. We're confident in our abilities to make the most of the opportunities ahead of us. We expect to continue to grow and deliver increased shareholder value. Thank you for your interest in Meritage Homes. We'll now open up for questions. The operator will remind you of the instructions. Operator?
Operator: Thank you, Steve. We will now begin the question and answer session. Our first question comes from Michael Rehaut with JPMorgan. Please go ahead.
Michael Jason Rehaut - JPMorgan Securities LLC: Thanks. Good morning, everyone. Nice results. First question I had was on the entry-level strategy, and, Steve, in your prepared remarks, you mentioned that this is something that you continue to refine and from what we understand when we visited back with Hilla in Phoenix in mid-March, talking about more – shifting even more of your product towards entry-level and with less customization, kind of more of LiVE.NOW type of approach. So just wanted to get your – get kind of an overview of how the strategy has been refined over the last few quarters and what that could mean on an incremental level in terms of margins and returns?
Steven J. Hilton - Meritage Homes Corp.: Well, (18:29), we're talking more about the operational side of it. We're doing some things with technology on how we're selling the homes in the sales office, and how we're dealing with customers and brokers on the pricing. Our spec home offering, the mix of the spec, the features we put into the specs, the upgrades we put into the specs is all part of the refinement to make sure we have the right inventory at the right time to capture the biggest pool of buyers that we can. So we continue to experiment but to learn from the communities that we do have open. And we're opening quite a few more what would I call LiVE.NOW communities for the remainder of the year. And as you know, when you came out here, those communities are primarily spec home driven.
Phillippe Lord - Meritage Homes Corp.: Yeah. This is Phillippe. We've gone – it's a 100% spec, which is one of the biggest changes. So you can only buy a spec home. You cannot do a to-be-built. There is no design studio. You select your option right on site. We've aligned all of our options with our national trade contracts, which is allowing us to drive our cost down, our cycle times are better. So that's really what's driving the operational improvement, and we're seeing that impact our margins and, more importantly, just our ability to build homes at better costs and drive our cycle times down.
Michael Jason Rehaut - JPMorgan Securities LLC: So just kind of working off of that then and just trying to understand how this is going to kind of work across the company more and more. Can you give us a sense of how much over the next, let's say, 18 months what percentage of closings the LiVE.NOW approach where you have no customization and more of a spec-driven approach, what percent of closings or revenue that this approach might account for?
Steven J. Hilton - Meritage Homes Corp.: Well, we previously stated that 35% to 40% of our communities will be entry-level by the end of this year. We think almost all those will be – not quite all of them, most of them will be LiVE.NOW. And since the absorptions are higher in those communities than they are in our move-up communities, that means there'll be even a higher percentage of the total closings coming from entry-level communities. So I think it'll be probably close to 50% by the end of next year, if not sooner.
Michael Jason Rehaut - JPMorgan Securities LLC: Great. Thank you.
Steven J. Hilton - Meritage Homes Corp.: Thank you.
Operator: Okay. The next question comes from Alan Ratner with Zelman & Associates. Please go ahead.
Alan Ratner - Zelman & Associates: Hey, guys. Good morning. Nice quarter. A couple questions on the land strategy. So if I look at your lot count, you've actually seen an uptick in the share of owned lots year over year, about 500 basis points, 600 basis points versus optioned, which is a bit different than what other builders are seeing and talking about as far as trying to really push more option land off balance sheet to drive cash flow and returns higher. So first question was maybe just talk a little bit about your strategy on the land front and why you're incrementally adding owned lots at this point in the cycle and whether that has anything to do with trying to drive the gross margin higher.
Steven J. Hilton - Meritage Homes Corp.: We don't have a conscious strategy to buy more land versus auction more land. We just haven't found the opportunities to find the land that we can buy under auction in the markets where we need land or we want to buy land. To the extent those are available, we pursue them. We are trying to be mindful about our balance sheet and maintain our leverage and then over time you can reduce it. But we just haven't been able to find opportunities for auction land that makes sense for us to a degree that we want to increase that ratio.
Hilla Sferruzza - Meritage Homes Corp.: Alan, I think you're right though on bringing in third-party intermediaries to land base for us. It's exactly for the reason that you noted, at this point in the cycle we're hyper-focused on increasing our margins and giving a piece of that upside to a land seller is not making sense for us.
Steven J. Hilton - Meritage Homes Corp.: Yeah.
Alan Ratner - Zelman & Associates: Got it. Okay. That makes sense. And then second question. Obviously the order patterns are very healthy, and it seems like you guys and others are not seeing any impact from rates impacting demand at this point. Although, Phillippe, I did hear you mentioning affordability and some of the entry-level communities maybe pushing a little bit of a barrier there. So when you're underwriting land today presumably for community openings a year or two down the road, what are the primary metrics you're looking at as far as really gauging whether it makes sense to kind of execute that land deal? And are there any kind of yellow flags that are kind of being waved at this point that are giving you a bit more caution given the moving rates and affordability that we've seen?
Phillippe Lord - Meritage Homes Corp.: We've been extra careful in some of the markets that are not as affordable as other markets. I think, you know what those markets are. We're continuing to underwrite to a 20% plus gross margin and a 25% plus IRR. We're pushing more for entry-level, we're not buying anything above first move up. Anything outside the conventional loan limits, jumbo loans we're not buying that type of land. And our strategy has been pretty consistent for the last year plus.
Alan Ratner - Zelman & Associates: Were there any deals, just out of curiosity, Steve, that might have been under consideration that you decided not to move forward on in the quarter because of the moving rates?
Steven J. Hilton - Meritage Homes Corp.: No. No. I think, we've been more laser focused on finding deals that have less risk. So, around land development, around product, we're going to be, really reduce the execution risk to improve the market risk. I think, we can more easily quantify the market risk but the other risk we're going to try to avoid.
Phillippe Lord - Meritage Homes Corp.: I think, the size of deals is something we've been really thinking about too, making sure we're looking at how the deal fits into the market long term not just short term. So, we've been spending on – a little more time on that as well.
Steven J. Hilton - Meritage Homes Corp.: The average size of our land acquisition has increased, that's because we'd rather focus on deals that have a longer runway and less turnover particularly at the lower price points, where we can get a good land buy.
Alan Ratner - Zelman & Associates: That's helpful. So, obviously, you think there's more runway to go in the cycle. Makes sense.
Steven J. Hilton - Meritage Homes Corp.: Well, on the entry-level...
Alan Ratner - Zelman & Associates: Yeah.
Steven J. Hilton - Meritage Homes Corp.: So we're buying – on the entry-level deals, we're buying a little bit bigger positions; on the first move up communities, they're smaller. But for the entry-level, we're trying to have less turnover and more leverage over our overhead.
Phillippe Lord - Meritage Homes Corp.: And I think, we already stated this, but for us entry-level is a key underwriting criteria, that we're below the FHA limit, and we have to be able to stay there. Two years from now, we'll still be under meet the FHA loan limit.
Steven J. Hilton - Meritage Homes Corp.: And they have to be higher absorption communities for sure.
Phillippe Lord - Meritage Homes Corp.: Yeah.
Alan Ratner - Zelman & Associates: Got it. Got it. All right, guys. Thanks a lot.
Operator: Okay. The next question comes from Stephen East with Wells Fargo. Please go ahead.
Stephen East - Wells Fargo Securities LLC: Thank you, and good morning, guys. Congratulations on a very nice quarter. So, if you look at LiVE.NOW, Steve, is this a case of – can you get better gross margins out of this, or is this more that the returns are a lot better because of your velocity out of that? And then along with that, this is – as we tour that product, this is the one that really struck you as potentially having manufacturing opportunities, and I know, you all are probably on the forefront at looking at a lot of different options. But is manufacturing – offsite manufacturing a real possibility with LiVE.NOW, or is this just more a case of executing on spec and delivering the product?
Steven J. Hilton - Meritage Homes Corp.: I think, it's more the case of executing on spec and delivering the product. We just think there's less operational risk...
Stephen East - Wells Fargo Securities LLC: Okay.
Steven J. Hilton - Meritage Homes Corp.: ...on the LiVE.NOW, than there is on the first move-up, or any move-up. And the gross margins, we don't think they're going to be necessarily better, but we have a higher probability of hitting our underwriting criteria, we think with entry-level LiVE.NOW that we do at the higher price points particularly as interest rates rise. As far as manufacturing, we're in more offsite manufacturing module, it's just not there yet, and so I talk about it and certainly I've been studying it and we have people on our team that have been out to some different parties who are doing some of this stuff, but I still think it's quite a ways away from coming into play for what we do.
Stephen East - Wells Fargo Securities LLC: Okay.
Steven J. Hilton - Meritage Homes Corp.: I think, there's a lot other things that are going to happen first around what I call precut lumber, maybe precut drywall, precut everything to make the skilled labor become – will have less pressure on the manufacturing process on site.
Stephen East - Wells Fargo Securities LLC: Okay. That's really helpful. And then, just as you all look at your costs nationwide, can you just give us an idea of what they're inflating at maybe materials and then labor and land if you will? And then, I was interested in your lumber strategy I mean how do you lock it in for 90 days or what's your strategy there?
Phillippe Lord - Meritage Homes Corp.: Yeah. This is Phillippe. So our costs are up maybe 1% through the first three months. A lot of that's lumber, which I'll get into. We think we've incurred about $1,500 a house on lumber since the beginning of the year. It's kind of moved around a little bit, we've seen OSB go down, but loose lumber go up. We kind of walked in, thinking it was going to go down after the first quarter, that's what everyone believed it was going to do, it actually went up. Right now, the sentiment is that it's going to go down again. We'll see if they're right. We have different locks throughout the country, depending on how we build homes, right? I mean, in Texas, we stick build, in the West, we're turnkey. So, we have a little bit longer locks in the West, our locks in Texas are very short. So, we can take advantage of lumber, as it goes down. So, that's the kind of the lay of the land for our cost through the first quarter of the year.
Stephen East - Wells Fargo Securities LLC: Okay. And what's your labor and land doing?
Phillippe Lord - Meritage Homes Corp.: Labor has not gone up very much, quite frankly. And I think a lot of that is the fact that we're simplifying our business and we're getting some more efficiencies there. Land, the price of the land isn't getting any cheaper, but I think we're seeing it come through our balance sheet a little bit large just because of the entry-level exposure. But it's definitely not getting any cheaper.
Stephen East - Wells Fargo Securities LLC: Okay. All right. Thanks a lot.
Steven J. Hilton - Meritage Homes Corp.: Thanks, Stephen.
Operator: Okay. The next question comes from Stephen Kim with Evercore ISI. Please go ahead.
Stephen Kim - Evercore ISI: Yeah. Thanks a lot, guys. Appreciate the – all the information, as usual. I wanted to ask a little bit about the LiVE.NOW. In particular, I wanted to get a sense for how that product maybe because you may be positioning it for the future where we may see a little bit more pressure on affordability. You talked about the FHA levels and that was very helpful, about staying below that limit. But I wanted to ask within the LiVE.NOW range that you offer in your communities, are you seeing more buyer interest for the larger footprints within the LiVE.NOW range that you currently have, or would you say it's pretty evenly distributed? And how much ability do you have to add smaller footprint homes or larger footprint homes for that matter within these communities that are slated to come out in the next year or two? If you get a sense of maybe affordability is more of an issue; if rates move up, let's say, could you slide in some smaller footprint homes within to extend your range lower, basically?
Steven J. Hilton - Meritage Homes Corp.: Well, I'd say that we have a relatively wide band of products for most of our LiVE.NOW communities as low as 1,400 square feet. Actually, we just opened the community in Phoenix. I think, there's a 1,400 square foot plan there, it sells for $180,000, well, it's $180,000, it's on the far outskirts of Phoenix, to some of our LiVE.NOW communities, go up to 2,800 to 2,900 square feet, but I don't think we're doing anything over that in most of our LiVE.NOW communities. So, depending upon market conditions and buyer demand in those communities, our individual operators have the ability to bring more product in lower square footage or more in a higher square footage. It's really based upon what the demand is at that location, who the buyers are. Some other locations are really, really young families, and they're looking for small square footages, just trying to get in based more on affordability. And some are a little bit more mature families that wait longer to have kids and they need a little bit more square footage. So, it varies by community, by market, but we do have that flexibility for sure.
Stephen Kim - Evercore ISI: That's really great. Second question, I had sort of touches on your comment about using maybe more precut lumber, maybe being more focused on precut lumber and drywall. I wanted to ask one of your – one of the other builders this morning made mention that they thought that there was the potential for maybe some of the more sophisticated approaches to panelization and increased technology to add value going forward that they were looking it at hard. I know that you guys have also been very focused on exploring opportunities. I think, you're the only ones that actually have a head of sustainability and innovation. So I was interested in your comments there and I was curious if you could give us a sense for the percent of your homes that you're building using this precut lumber or even just panelization. If you could give us a sense for how involved you are already in that and how you see that changing over the next year or two? And then as a side note, does using precut lumber impact at all the way your lumber costs move with spot or not at all?
Steven J. Hilton - Meritage Homes Corp.: I don't think precut has any bearing on the pricing. Our ability to get the raw materials at a lower price. I would say, precut is a very small percentage of what we're doing. Unfortunately, I'd like to see it to be a much bigger percentage. Even panelization is probably a pretty small percentage. We're probably panelizing 20% of all of our homes, as you say. I mean, California – most homes in California are being panelized. Certain markets in Texas we're doing more panelization. But beyond that, there's not much panelization going on, but we're trying to increase that. But it's not easy. It's a challenge with some of our subcontractors. But it's definitely an area of focus. The move to precut everything that goes into a home is really, I think, the way with the future, and I think it's going to come before modular building.
Stephen Kim - Evercore ISI: Excellent.
Steven J. Hilton - Meritage Homes Corp.: So, that's kind of where we're focused.
Stephen Kim - Evercore ISI: All right. Thank you very much. Helpful.
Steven J. Hilton - Meritage Homes Corp.: Thanks.
Operator: Okay. The next question comes from Nishu Sood with Deutsche Bank. Please go ahead.
Timothy Daley - Deutsche Bank: Thanks. This is actually Tim Daley on for Nishu. So my first question is regarding the West Coast. So strong demand out there this quarter, and you're not the first builder to comment on that. So just thinking as a builder with a strong entry-level and move-up presence out West, could you help us understand the dynamics of the demand on the West Coast last quarter and kind of currently? Just curious that if there's been any sort of pull forward tax, what happened with the tax rate, changes in mortgage rates and particularly highlighting any sort of differences you're seeing between entry-level versus the move-up demand? Thank you.
Phillippe Lord - Meritage Homes Corp.: Sure. This is Phillippe. Generally, demand in the West is really strong. We have communities flag flying. We're seeing really strongest absorptions across the country. We have a lot of entry-level in Arizona, and as we've said before, it's doing extremely well. We are starting to get much more in the entry-level space in Denver where affordability is really stretched, and that's doing quite well. We don't have as many LiVE.NOW or entry-level communities in California, although we are buying land for that space. So we can't really contrast it to, most of our California communities are first move-up communities, but the demand in those communities is extremely strong. Supply conditions in those core markets, in Northern California and Southern California is very strong and has been strong for a while.
Timothy Daley - Deutsche Bank: All right. Understood. And then, apologies if I missed it, but are you still expecting the community count growth of 5% to 10% given there's a large push in 1Q higher than we had expected. And then, kind of contrasting that with the faster closeouts in the West Coast, just trying to, I guess, better think about how the cadence of community count will go throughout the year. And any sort of, I guess, kind of looks into 2019, if you could provide that as well, it would be very helpful.
Steven J. Hilton - Meritage Homes Corp.: The short answer is yes, but probably to the lower-end of that range, and we're not ready to give any kind of guidance on 2019 community count growth yet.
Timothy Daley - Deutsche Bank: All right. Great. Appreciate the time.
Steven J. Hilton - Meritage Homes Corp.: Thanks.
Operator: Okay. The next question comes from John Lovallo with Bank of America Merrill Lynch. Please go ahead.
John Lovallo - Bank of America Merrill Lynch: Hey, guys. Thank you for getting me in here. The first question is it does really seem like the East region has turned the corner here. Are you guys pretty confident that the management team you have in place in the region is now pretty much set? Or is there still a little bit of refining that you guys have left to do?
Phillippe Lord - Meritage Homes Corp.: Yeah. This is Phillippe. I'm very confident in our management team in the East. We've made a couple of moves over the last three or four quarters, that I think have really upgraded our leadership teams in those markets. We're always looking at our management team, evaluating them, to make sure we have the absolute best people running each division. So I'm not just going to sit here and tell you that there aren't going to be changes over time, as we assess that. But we've made our team much stronger over the last few quarters and we're really excited about the progress that they're making.
John Lovallo - Bank of America Merrill Lynch: Okay. That's helpful. And then maybe just going back to community count for one second. Is there anything you can help us with just in terms of cadence over the next couple of quarters?
Hilla Sferruzza - Meritage Homes Corp.: There's not going to be a lot of variability over the next couple of quarters, maybe up a couple, down a couple, just kind of bumping along and then ending up the year as Steve said within our guidance of 5% to 10%, but probably closer to the lower end.
Steven J. Hilton - Meritage Homes Corp.: Talking more about absorptions though, right?
Phillippe Lord - Meritage Homes Corp.: No. No, community count.
Steven J. Hilton - Meritage Homes Corp.: (39:46) cadence.
John Lovallo - Bank of America Merrill Lynch: Yes. I was thinking about the cadence of the community count. That's right. You guys answered it well. Thank you.
Steven J. Hilton - Meritage Homes Corp.: Okay.
Operator: Okay. The next question comes from Susan Maklari with Credit Suisse. Please go ahead.
Susan Maklari - Credit Suisse Securities (USA) LLC: Thank you. Hello. My first question is thinking a bit bigger picture perhaps as we get a rise in rates and you get a move down in buyers towards more of your entry-level LiVE.NOW kind of product. Do you think that you could perhaps see more upgrades that come in there, driving a bit more gross margin expansion over time?
Steven J. Hilton - Meritage Homes Corp.: No, because that's not really the strategy for that product. I mean, price is the number one amenity for the entry-level buyer. And we're not sending them to design centers, so we have to – whatever upgrades we're going to put into those houses, they have to be pre-plotted or preplanned. So there's really not going to be an opportunity to get more option revenue for those in that nature of our business.
Hilla Sferruzza - Meritage Homes Corp.: Well, Susan, I will say that our base pack level and the options that we're putting in are probably a notch above what you're going to see in traditional entry-level. So there is still highly amenitized homes for the entry-level space. And as the interest rates increase in that second time move-up needs to pivot down due to affordability, they will probably be attracted to our first-time move-up product, maybe not so much our LiVE.NOW product which still does has – it still does have the ability to put options in (41:21).
Steven J. Hilton - Meritage Homes Corp.: Yeah. The opportunity is the fact that we don't have to build as many models. So we don't have as much overhead because there's always standing inventory for people to purchase and to go out and to see. And we can do it with less construction overhead, less supervision. I think, we can build more homes because we're line-building. And we can – as you've seen from some of the more dominant entry-level builders like ones that are reporting today, their SG&A is very low and that's because that's their strategy. And I think we can push our SG&A down over time as we get bigger in this space.
Susan Maklari - Credit Suisse Securities (USA) LLC: Okay. That's helpful. Thank you. And then can you just give us a little bit of color on what you're seeing in Texas. It seems like your order growth there has really held up pretty well. Just any color in terms of what's going on on the ground?
Phillippe Lord - Meritage Homes Corp.: Yeah. This is Phillippe. It's good. It's strong. I mean, in all four markets, we're seeing strong demand. We have different strategies in all four markets. We're very focused on the first time homebuyer in San Antonio and Austin. And those segments are really strong and we've seen really positive conditions for those groups. And then we're more of a move-up builder in Dallas and Houston. And since the hurricane and Houston demand has recovered very quickly. And it's softer in Dallas at high price point, but we're positioning ourselves a little bit lower these days and we are in the first move-up space and we're seeing strong demand there. So we're bullish on the economy and how we market in Texas right now.
Susan Maklari - Credit Suisse Securities (USA) LLC: Okay. Thanks.
Operator: Okay. The next question comes from Alex Barrón with Housing Research Center. Please go ahead.
Alex Barrón - Housing Research Center LLC: Thanks. And great job on the quarter, guys. I wanted to ask about your pricing power and if you could make a comment about what you're seeing, I guess, at the lower entry-level prices versus the move-up, how much pricing power you have in each?
Steven J. Hilton - Meritage Homes Corp.: Well, we have a lot of pricing power. We've taken substantive price increases throughout the previous quarter and already into this quarter, this month. We're hyper-focused on margin here. We are really getting more involved at the corporate level in our pricing and taking everything the market will give us in every one of our communities across the country. So, that's going to be a big part of our margin story. I think, we maybe could have done better on pushing our pricing, but that's not going to be the case for the remainder of this year.
Alex Barrón - Housing Research Center LLC: Got it. And I also had a question related to the tax rates. I guess, this quarter, we saw a bit of a catch-up on the energy tax credits. How is that going to work going forward? Is that going to be something you get each quarter or just once a year? How is that going to work?
Hilla Sferruzza - Meritage Homes Corp.: So, there was a one-time catch-up for all of 2017 that was passed in the first quarter. So, the way that the tax rules work, we took all of last year in the first quarter. So, the first quarter's tax rate of 10%, that's not going to be repeated throughout the rest of the year. The rest of the year is just going to be the regular tax rates. There's no energy tax credit reflecting in those, and we've noted that's going to be about 25% although we're still holding out hope that there may be an opportunity to get a similar extension for 2018, but we're certainly not modeling it.
Steven J. Hilton - Meritage Homes Corp.: Yeah. If you recall, under the previous administration like in 2014 and 2015, at the end of each year, they passed the energy tax credit bill and we got those credits right at year-end. And then at 2016 and 2017, they passed a bill – it went for a two-year period that was passed at the end of 2015 or 2016 and 2017. That expired. And then there was no energy tax credit passed at the end of 2017 like we see normally. So, that lasts all the way into – I think went into January, February. Finally, they passed it. It was retroactive to last year, but we'd already delivered our results for last year. So, we took it in the first quarter. Whether we're going to get again for this year, we don't know, but we're working hard lobbying Congress and the administration to pass another one.
Alex Barrón - Housing Research Center LLC: So, at this point, basically for the rest of the year, you don't expect to see it until maybe if a new law gets passed at the beginning of next year?
Steven J. Hilton - Meritage Homes Corp.: Who knows? It could come sooner or it could come later, but we're not banking on it. But we've gotten it every year, just comes at different times.
Alex Barrón - Housing Research Center LLC: Got it. Okay. Thanks so much. Best of luck.
Steven J. Hilton - Meritage Homes Corp.: Thank you.
Operator: Okay. The next question comes from Carl Reichardt with BTIG. Please go ahead.
Carl E. Reichardt - BTIG LLC: Thanks. Good morning, everybody. I wanted to ask about, Hilla, your guidance for this quarter that you offered back in January for margin was mid-16s and you did 17.1%. Just internally, what were the positive surprises that led the performance to be so good relative to what you'd guided to in January?
Phillippe Lord - Meritage Homes Corp.: I'll take that one. I'll say that I think 51% of the homes we closed were specs and we pushed prices hard on those throughout the quarter, particularly earlier in the quarter. And we got a handful of extra closings that really helped our leverage as well.
Hilla Sferruzza - Meritage Homes Corp.: We also did some value engineering of our products in the East. If you guys remember, we had a new product library rollout over the last couple of quarters and as we value engineered that product, we started to build it and we were able to squeeze out a little bit of the cost as well as (47:46) production.
Phillippe Lord - Meritage Homes Corp.: Yeah, Q4 and earlier quarter.
Hilla Sferruzza - Meritage Homes Corp.: Yes.
Carl E. Reichardt - BTIG LLC: Okay. Thanks for that. And then, on the East, I know we'll get your gross margins by region with the Q. But your Florida closings were a substantially higher percentage of which you did this year versus last. I'm not quite 50% I think versus the third. So, how much – and you mentioned the gross margins there being a helpful driver. So, how much of the improved performance there was due to the mix shift in Florida relative to the rest of the markets? Whether that's margin there or just you have legacy assets there that you've owned for a while or a better business there than the other parts of the East. I'm just trying to parse the difference between Florida contribution and then operational improvement in those markets that you bought into.
Hilla Sferruzza - Meritage Homes Corp.: Yeah. We don't break out the margin to anything lower than a regional level, although you are correct. There's a bigger concentration of the performance coming from Florida, part of that is of course, the lags from the hurricane homes that we couldn't get closed in Q4, we were able to get closed in Q1. The performance in Florida is a bit stronger than the rest of the other markets although we saw improvement in all of the markets in the East.
Carl E. Reichardt - BTIG LLC: Okay. Thanks.
Operator: Okay. The next question comes from Jade Rahmani with KBW. Please go ahead.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much. With the 1Q spec sales being so successful, what's driving the lower backlog conversion expectation implied in your closing guidance for 2Q?
Steven J. Hilton - Meritage Homes Corp.: I'd have to look at that.
Hilla Sferruzza - Meritage Homes Corp.: Yeah. We had a little bit – as we mentioned, there was a little bit of the hurricane catch-up in Q1 that accelerated some of those closings. The homes were actually complete. We're actually just waiting on utility and municipal hookups. But you saw a little bit of a blip in Q1. Q2, we're kind of back to normalized volumes.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Okay. Can you give a percentage cancellation rate in the quarter and if you're seeing – any color and then if you're seeing higher cancellation rates on the spec sales?
Hilla Sferruzza - Meritage Homes Corp.: We have about a 14% cancellation rate for the quarter. I think at last year's first quarter, we were at 12%, they picked up just a little bit. It's not actually on specs. It's due to the shift to entry level which is very intentional. We're trying to get a wider population of folks to try to qualify and some do and some don't. But the bigger we make that funnel to get folks in the doors, then more successful we will be in the entry-level space.
Steven J. Hilton - Meritage Homes Corp.: Yeah. The cycle time on the specs is a lot lower. Most of those specs are being sold somewhere around framing a drywall. So, cancellation rate really isn't any more respect than it is for builders (50:41) and I'd probably argue that it might be less.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Okay.
Steven J. Hilton - Meritage Homes Corp.: But we'll keep an eye on that.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much.
Steven J. Hilton - Meritage Homes Corp.: Thank you.
Operator: And the next question comes from Jay McCanless with Wedbush. Please go ahead.
Jay McCanless - Wedbush Securities, Inc.: Hey. Good morning, everyone. The first question I had, you guys and the other builders that have reported this week all took your gross margin guidance up for the year. What's changed in the last couple of months either for Meritage or for the industry where everyone is a little more comfortable with the gross margin line.
Steven J. Hilton - Meritage Homes Corp.: Pricing power. Pricing power, refined execution, I think we are all executing better, at least I know we are. Pricing power and outside of lumber, better cost control.
Hilla Sferruzza - Meritage Homes Corp.: Maybe a little bit of breathing room, as Phillippe mentioned, on labor.
Steven J. Hilton - Meritage Homes Corp.: Yeah.
Jay McCanless - Wedbush Securities, Inc.: Good to hear. The second question I had on, call it, your second move up all the way to your luxury product. What are you seeing for sales or what did you see for sales absorption in the quarter versus last year? And are you generally just seeing a better sell-through of that product? Just trying to figure out why the ASP for the full year moved up, whether it's mix or you're seeing better sell-through in those higher price points.
Steven J. Hilton - Meritage Homes Corp.: I wouldn't say it's better. We have some really, really high price stuff in California that is probably influencing that. We had really good sales, actually opened a couple of communities where the sales in California are around – the ASP is around $1 million and we're selling well there. It wouldn't be a luxury community in the other states. At $1 million, it's probably a first move-up in California in some of these markets that we're in. Close to Silicon Valley and then not far from the water in Orange County. So, I think that's skewing the numbers a little bit, but I don't think it's material to directionally where we're heading.
Hilla Sferruzza - Meritage Homes Corp.: And just to clarify, with our focus on LiVE.NOW and first-time move-up, our participation in second-time move-up in luxury is fairly limited, and it's going to continue to decline over the next couple of years.
Steven J. Hilton - Meritage Homes Corp.: Yeah.
Jay McCanless - Wedbush Securities, Inc.: Got it. Okay. Great. Appreciate it.
Operator: And the next question comes from Dan Oppenheim with UBS. Please go ahead.
Daniel Oppenheim - UBS Securities LLC: Great. Thanks very much. Thank you. Wondering about the overhead leverage, I guess, as it relates to the community count in the West. Wondering how that impacts thoughts onto the SG&A leverage as we go over the next couple of quarters given sort of the declines in California with the higher price point and looks as though community count sort of ended the quarter at a lower level, and it was trailing lower as the quarter progressed and thinking about closings done over the coming quarters here?
Phillippe Lord - Meritage Homes Corp.: I mean our leverage is actually still going down in the West and a lot of that's just driven by the high absorptions that we're seeing out of those communities. Obviously, overhead is impacted when you're turning over communities. You always front-load overhead when you're opening up new communities. So, that's having a little bit of a drag on it. But we're getting such strong absorptions in the West on a per store basis that our leverage continues to trend in a positive way.
Daniel Oppenheim - UBS Securities LLC: Okay. And then, I guess, there've been a couple of questions in terms of the margins, but you'd also talked about how you've been refining what goes into the specs. Wondering how much of the margin improvements would you say is coming to sort of changes in what you've been doing with that versus just the move in the markets?
Phillippe Lord - Meritage Homes Corp.: I would say most of the margin in the short term is being driven by the pricing power in the market. I mean we've really focused on getting everything we can from the market, in the first quarter the market was strong. We have pricing opportunities, but we also are seeing margin opportunities as we simplify our business, as we align what we're putting into the house with our national contracts, and get more efficient with the way we're building houses. We are seeing better cost control and even opportunities to reduce our costs. But I would say, again, a big part of the margin story is the pricing power.
Daniel Oppenheim - UBS Securities LLC: Great. Thank you.
Steven J. Hilton - Meritage Homes Corp.: Thanks. So, I think that was our last question. We thank you for your interest and participation in our call this quarter and we look forward to talking to you on our next call. Thank you very much. Have a great day.
Operator: Okay. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.